Operator: Good day, everyone and thank you for standing by. Welcome to the Q1 2024 Vicor Earnings Conference Call. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference to Jim Schmidt, Chief Financial Officer. Please go ahead.
Jim Schmidt: Thank you. Good afternoon and welcome to Vicor Corporation’s earnings call for the first quarter ended March 31, 2024. I am Jim Schmidt, Chief Financial Officer and I am in Andover with Phil Davies, Vice President, Global Sales and Marketing. Patrizio Vinciarelli, Chief Executive Officer is joining the call from Washington DC ahead of the upcoming patent infringement trial before the International Trade Commission. After the markets closed today, we issued a press release summarizing our financial results for the 3 months ending March 31. This press release has been posted on the Investor Relations page of our website, www.vicorpower.com. We also filed a Form 8-K today related to the issuance of this press release. I remind listeners this conference call is being recorded and it’s the copyrighted property of Vicor Corporation. I also remind you various remarks we make during this call may constitute forward-looking statements, for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Except for historical information contained in this call, the matters discussed on this call, including any statements regarding current and planned products, current and potential customers, potential market opportunities, expected events and announcements, and our capacity expansion, as well as management’s expectations for sales, growth, spending, and profitability are forward-looking statements involving risk and uncertainties. In light of these risk and uncertainties, we can offer no assurance that any forward-looking statement will, in fact, prove to be correct. Actual results may differ materially from those explicitly set forth and/or implied by any of our remarks today. The risk and uncertainties we face are discussed in Item 1A of our 2023 Form 10-K, which we filed with the SEC on February 28, 2024. This document is available via the EDGAR system on the SEC’s website. Please note the information provided during this conference call, is accurate only as of today, Tuesday, April 23, 2024. Vicor undertakes no obligation to update any statements, including forward-looking statements, made during this call and you should not rely upon such statements after the conclusion of this call. A webcast replay of today’s call will be available shortly on the Investor Relations page of our website. I’ll now turn to a review of our Q1 financial performance, after which Phil will review recent market developments and Patrizio, Phil and I will take your questions. In my remarks, I will focus mostly on the sequential quarterly change for P&L and balance sheet items as well as year-over-year changes and refer you to our press release for our upcoming Form 10-Q for additional information. As stated in today’s press release, Vicor recorded total revenue for the first quarter of $83.9 million, down 9.5% from the fourth quarter total of $92.7 million and down 14.3% from the first quarter 2023 total of $97.8 million. Brick Products revenue declined 11.7% sequentially, while Advanced Products revenue declined 7.3% from the fourth quarter. Shipments to stocking distributors increased 21.8% sequentially. Exports for the first quarter decreased sequentially as a percentage of total revenue to approximately 42.6% from the prior quarter’s 56.5%. For Q1, Advanced Products share of total revenue increased to 51.6% compared to 50.4% for the fourth quarter, with Brick Products share correspondingly decreasing to 48.4% of total revenue. Turning to Q1 gross margin, we recorded a consolidated gross profit margin of 53.8%, increasing approximately 2.7% from the prior quarter. A number of factors contributed to this sequential increase in gross margin percentage including increased royalty income, improve sales mix, reductions in tariff spending and lower freight costs. I will now turn to Q1 operating expenses. Total operating expenses increased 10.1% from the fourth quarter or $4 million, with the increase being primarily due to legal expenses incurred ahead of trial in our patent infringement case before the ITC. The amounts of total equity based compensation expense for Q1 included in cost of goods. SG&A and R&D was $754,000, $1,919,000 and $1,107,000 respectively, totaling approximately $3.8 million. For Q1, we reported operating income of $1.1 million, representing an operating margin of 1.3%. Turning to income taxes. We recorded a tax provision for Q1 of approximately $1.2 million, representing an effective tax rate for the quarter of 31.3%. Net income for Q1 totaled $2.6 million. GAAP diluted earnings per share was $0.06 based on a fully diluted share count of 45,031,000 shares. Turning to our cash flow and balance sheet. Cash and cash equivalents totaled $239.2 million at Q1. Accounts receivable net of reserves totaled $57.6 million at quarter end, with DSOs for trade receivables at 47 days. Inventories net of reserves increased 5.4% sequentially to $112.3 million. Annualized inventory turns decreased sequentially to $1.71. Operating cash flow totaled approximately $2.7 million for the quarter. Capital expenditures for Q1 totaled $7.4 million. We ended the quarter with a construction in progress balance primarily for manufacturing equipment of approximately $13.6 million and with approximately $17.8 million remaining to be spent. I’ll now address bookings and backlog. Q1 book-to-bill came in below 1 and with 1-year backlog decreasing 6.5% from the prior quarter, closing at $150.3 million. As stated in our earnings call in February, 2024 is a year of uncertainty and opportunity. As of today, the quarterly and annual outcome in terms of top line and bottom line remains subject to a wide range of scenarios. Given the wide range of possible outcomes, we are unable to provide quarterly guidance until we are further along resolving uncertainties and capitalizing on opportunities. With that, Phil will provide an overview of recent market developments and then Patrizio, Phil and I will take your questions. I ask that you limit yourself to one question and a related follow-up so that we can respond to as many of you as we can in the limited time available. If you have more than one topic to address, please get back in the queue. Phil?
Phil Davies: Thank you, Jim. My remarks this quarter will build on Patrizio’s comments in the press release that we issued earlier today. As a reminder, Patrizio commented, as we confront challenges and pursue opportunities, 2024 will be seen as the year in which our product strategy, selective licensing of intellectual property and clarity of purpose secured Vicor’s future growth and profitability. So, let’s look at this from the point of view of our four business units and the growth opportunities each of them has with our top 100 customers. The current base of our business lies with the Industrial Business Unit and the Aerospace and Defense Business Unit. This year, we will release the production over 20 new high-power density products that leverage our new chip fab capabilities. These products utilize advances in our topologies, control systems, components and packaging to raise the bar on power density and performance. From high-power regulated and fixed ratio DC/DC converters to new AC to DC products aimed at the aerospace industry to a new family of radiation-tolerant factorized power products for both LEO and MEO satellite constellation deployments. Customers from our top 100 are now designing advanced power systems for exciting new product launches that leverage electrification and autonomy in their systems. As part of our industrial and aerospace and defense strategies, we have also consolidated our distribution channel partners to large global distributors who have the customer base, the reach and the market status needed to achieve our broad market growth goals. Our global channel partners, Arrow and Avnet are now placing a higher focus on power conversion and power management as a strategic business and a major growth driver due to the electrification trends in broad industrial and transportation markets. They clearly recognize the advantages and differentiation that our high-density power modules bring to their customer base. This quarter, we concluded a series of meetings with both channel partners, jointly laying out clear strategies and targets for growth by focusing on specific vertical markets with a clear set of identified target customers globally that map to the numerous new products that we will launch in 2024. Technology licensing will become an expanding segment of our business portfolio and an important parallel path to our product revenues across our four business units. Licensing will enable more rapid scaling of our automotive market opportunity as we expand our relationships with OEMs and automotive Tier 1 suppliers. The automotive market, in particular, is aggressively looking for new technologies for both 48-volt zonal architectures, onboard charging and 800 to 48-volt powertrain conversion systems, which deliver high-power density and low weight for electric vehicles. OEM technology licensing partnerships are a way to monetize and rapidly scale this business. Our HPC customer engagements continue to expand with a set of customers with target production dates now from new innovative and higher-performance AI processes that will take full advantage of our Generation 5 vertical power delivery chipset. VPD is very strategic in achieving the power delivery, low power losses and performance required. Electrical and thermal models representing the Gen 5 chips have now been delivered to leading customers, enabling their system simulations at process occurrence up to 2,000 APs. We are on track to deliver evaluation systems and power module samples in Q2 and Q3 respectively. Q2 will be very busy for our Automotive business unit as we hosted the current count, 6 customers at our new facility in Andover, Massachusetts. New collaborations and design-ins continue with significant new engagements with OEMs and Tier 1s in the Asia Pacific region, where investments in electric vehicles and 48-volt zonal architectures are leading the rest of the world. The team had a very successful WCX in Detroit once again this year with four technology papers that showcased our power module-based power system value propositions for 800-volt and 48-volt powertrains. The new 48-volt zonal architecture will provide both product and OEM licensing revenue opportunities. Thank you. And with that, we will now take your questions.
Operator: Thank you. [Operator Instructions] It comes from the line of Quinn Bolton with Needham & Company. Please proceed.
Quinn Bolton: Hey, guys. I was wondering if you could start with I think the ITC case is going to be heard next week, but I was hoping you could give us just sort of an update on the ITC schedule, what you expect to happen next week? And then what would you expect to sort of follow over the summer until the expected decision date, which I believe is in early October, but anything you could sort of provide us on the – what the next key milestones in the ITC case are would be helpful?
Patrizio Vinciarelli: So to your point, the proceedings remain on schedule. There is going to be a trial next week and a decision by the administrative law judge in September with the deadline of early October. We look forward to an outcome that we expect to be fair altogether. We are on the right side of the issues and our opponents are on the wrong side of the issues, and that’s clear or should be clear to everybody. But again, we are going into trial, prepared, confident of positive outcome.
Quinn Bolton: Great. And then you had mentioned both in the press release and the prepared script, the royalty revenue has continued to increase in the March quarter. Just wondering if you might be able to quantify that, how much of an uptick did you see in March? And then would you expect that royalty line to continue to grow through the remaining quarters of 2024?
Patrizio Vinciarelli: So generally, we expect the royalty contribution to our revenues and bottom line to continue to expand as far as we can see. And there maybe setup events that occur at certain points in time. But to be clear, we are taking a very long-term view with respect to the opportunity and approaching it with the right balance in terms of Vicor’s interest as well as the interest of OEMs that elect to take a license as opposed to potentially Vicor confronted with lying down situations following exclusion.
Quinn Bolton: I will go back into queue. Thank you.
Patrizio Vinciarelli: Thank you.
Operator: Thank you. [Operator Instructions] And it comes from the line of Richard Shannon with Craig Hallum. Please proceed.
Richard Shannon: Hi, guys. Thanks for taking my questions. I guess I’ve got a couple of interlocking questions on your 5G second-gen PPD product here. I guess I wanted to get a sense of kind of the milestones that we should expect to see over the next coming quarters towards getting bookings and eventual revenues here. I think in the past, you’ve talked about models and tool delivery, which I think I heard some detail that I missed some of that. I think last quarter you talked about some – maybe some more equipment need to be delivered to support that. And then anything about manufacturing experience required for essentially the larger customers to have confidence in the ramp here? If you could kind of detail that what we should be looking for this year that would be great, please?
Patrizio Vinciarelli: Sure. So let’s start with the revenue opportunity. I think as we made clear in prior calls, 5G is not a 2024 revenue opportunity. Revenue opportunity starts in 2025. This is a year of delivery of solutions to initial key customers and we’re far long, particularly with one and before too long with more. So I will look again at 2024 is bringing this development effort to fruition, setting the stage with some leading customers before we get into production volumes next year.
Richard Shannon: Okay. Let me follow-up and kind of looking at the 5G opportunity a different way and certainly understanding it, as you said last quarter that this is not the year for 5G revenues at all here. But I guess, do you expect to be able to intersect with the first generation of 3-nanometer accelerators, GPUs, CPUs, whatever is out there to be ready by then or is that something we might be lagging the leading edge there?
Patrizio Vinciarelli: I would say that we high expectations, both premise on our capability, the much higher current density, the other performance attributes of our 5G VPD solution, which is what we call a second-generation VPD distinct from the first generation by the self pioneer and parented in which is being practiced by competitors with a great deal of difficulty from the performance perspective, from the ability perspective and last but not least, from the intellectual property perspective. So we believe that customers with the visibility to all the issues and we’re engaged with some of them. I understand that to get to reliable, scalable and not challenged by touch property issues, Vicor is the source. And at this point in time, no other source for a VPD system that works well, that is scalable, and the is now devoted to intellectual property challenges.
Richard Shannon: Okay, fair enough. Thank you.
Operator: Thank you. [Operator Instructions] It comes from the line of Jon Tanwanteng with CJS Securities. Please proceed.
Jon Tanwanteng: Hi, good afternoon. Thank you for taking my questions. I was wondering if you could give us an update on the potential for lateral vertical product shipping, if that might contribute to 24% or 25% and if there’s active programs in the pipeline for that?
Jim Schmidt: I’m sorry, I missed the potential for which, if you could repeat?
Jon Tanwanteng: Lateral vertical products, so the in between product.
Jim Schmidt: Yes. So I think as it turns out, the potential is limited. I will let Phil fill in with more color on this with a global view because the asset depends on which particular end market we’re looking for. Phil?
Phil Davies: Yes. So we do have – still have engagement with customers on lateral vertical designs. We’ve also seen lateral vertical be used with some reference designs for the network communications market for the Broadcom model type of processes from some of the contract manufacturers in Asia. So there could still be some revenues on lateral vertical towards the end of this year, early next year. So that’s still a potential for us.
Jon Tanwanteng: Got it, thank you. And then – so you mentioned something about licensing enabling more rapid scale in automotive. Are you allowing your partners there to produce your designs? Or is this something more similar to the current status quo where you are on allowing people to use your IP from different vendors like it’s happening in the HPC markets?
Patrizio Vinciarelli: So we are open to the opportunity for selective licensing in, among others, the automotive market. And there’s been some expression of interest, which you said to them is predicated on the distinct attributes of our solutions, and I’m referring to solutions involving 400-volt, 600-volt bus conversion as well as other solutions, including zonal architecture, which is once again something that Vicor conceived of 10 years ago with respect to which we have the intellectual property. So we have a number of opportunities in the automotive area in particular. There are some are now beginning to develop also related to CDC. I do expect that over time, some of these opportunities may turn into licensing deals.
Jon Tanwanteng: Okay. Great. And then finally, could you – Jim, could you break out the legal expense in the quarter and what you expect over the next two or three of the ITC case reps up?
Jim Schmidt: Like, we said on the prepared remarks, legal expense was the primary driver of the $4 million incremental OpEx. I would stop short of trying to predict the future on that, Jon. And I might let Patrizio comment as well because he’s obviously been very close to all of it.
Patrizio Vinciarelli: Yes. So to Jim’s point, last quarter, there was a significant step-up primarily relating to progressions for the upcoming trial next week. We are not in a position to forecast the evolution of legal expenses. Frankly, they could keep stepping up. They could level off or they come down depending on a variety of scenarios. So I think if you wanted to pick one among those three scenarios, keeping it pretty much level would be probably the middle of the road alternative, but it could step up again because of additional actions we might take.
Jon Tanwanteng: Understood. Thank you.
Operator: Thank you. [Operator Instructions] It comes from the line of Don McKenna of D.B. McKenna & Company. Please proceed.
Don McKenna: Thank you. Patrizio, the comments that on future sales opportunities, again, are pretty positive. And with the exception of last quarter, the outlook has always been quite positive. And if you go back and read the transcripts, it’s obvious that the potential markets that you envisioned in the superior products that you’re offering just haven’t produced the results you would hope for. And I’m wondering what you’ve learned from that failure to capture the potential and what changes you’ve made in your approach to improve the sales and profitability?
Patrizio Vinciarelli: So as suggested in my calls, we believe we are executing well with a clear vision of what challenges and opportunities are. And frankly, I think this is a big part of the answer to your question that has to do with the vagaries of what has been going on with certain leading OEMs where their priorities have taken them in terms of product development. And to keep it at a very high in general level, I would say that from our visibility, a unique perspective with respect to the evolution of our system requirements. Some of the choices that have been made with certain OEMs are going to get those OEMs into a real bind both in terms of the performance of their platforms. And more importantly, the competitive spending relative to other companies that are starting to capture market share, and they see the opportunity of leveraging superior power system technology from Vicor. So I guess I’m not apologetic with respect to how we got to where we are. We don’t control our destiny in every stack. Obviously, we make critical decisions with respect to strategy and how we’re going to make the most of the opportunity both in terms of fab, our 5G technology and importantly, our intellectual property. And I would say that quite excited with how we got to where we are. And I think we have tremendous opportunity. It takes perseverance, clarity of vision, persistence. We have all those trades, and we expect to be far too long capitalized on the opportunity.
Don McKenna: Yes. And I realize it’s very difficult for you to try to make any projections on the short-term. Can you give us some kind of a feel for where you would expect revenues as a percentage increase over current, let’s say, 3 years down the road? What would you be satisfied with?
Patrizio Vinciarelli: I don’t know that I can honestly give you numbers or general stations without substantial risk in either direction. I think I can say that we do expect to fill our fab. As we know, the fab has got $1 billion worth of capacity and maybe a little more than that. We’re going to be able to fill that fab with opportunities relating to 5G in AI in the center type applications as well as automotive applications. And generally speaking to Phil’s earlier point, our top 100 customers undiversified several markets.
Don McKenna: And would you expect to fill that fab in the next 3 years?
Patrizio Vinciarelli: I do expect that, that will happen. I don’t know if Phil wants to add some color to this.
Phil Davies: No, I would just say that, that’s the objective is to achieve that and to do it with the broad-based market, with our distribution channel on the broad-based level, but also the top 100 focus. And we’re making great progress across the 4 BUs with the top 100. And the new products that we’re introducing this year, not just the Gen 5 but new high-power front-end products are getting designed into these top 100 customers that we’re now focused on. So I’m confident that we’ll fill the path. And I think that some exciting times are ahead of us.
Don McKenna: Alright. Great. Thanks, guys.
Phil Davies: Thank you.
Operator: Thank you. [Operator Instructions] It comes from the line of Alan Hicks with Ainsley Capital. Please proceed.
Alan Hicks: Yes. Good afternoon. I think I heard you say 48% on BBU and 50% on advanced products. Was that correct?
Patrizio Vinciarelli: I’m sorry, could you repeat that? I’m a little bit handicap here with my audio today.
Alan Hicks: Okay. On the percentage of revenues, advanced products, I think, were a little over 50% and BBU was a little over 48%. Was that correct?
Patrizio Vinciarelli: That’s correct. For the first quarter, yes, the mix between advanced products and Brick products change.
Alan Hicks: Okay. So could we assume that royalties were that other 2%?
Patrizio Vinciarelli: I’m sorry, the royalties will?
Alan Hicks: Was the differential, so it added up to 98% roughly. So for the differential would be roughly 2%.
Patrizio Vinciarelli: I wouldn’t make that assumption. I don’t know that I can give you a quantitative measure here. I know as part of our reporting and maybe Jim can comment on that. You can point you to where you can find additional information.
Jim Schmidt: Yes. Alan, the better way to think about it is we said 51.6% advanced, 48.4% brick, which is 100%. And the realty income is associated with advanced products.
Alan Hicks: Okay. So last quarter, it was $7 million, I believe, did it grow significantly from last quarter?
Patrizio Vinciarelli: It grew.
Jim Schmidt: And yes, it did grow. It stepped up substantially from last quarter.
Alan Hicks: Okay. And is the factory – are the gross margins also improving on the factory?
Jim Schmidt: Sorry, go ahead for Patrizio.
Patrizio Vinciarelli: Okay. Well, so yes to say, capacity is actually in the factory is an issue – was in issues the last quarter, still going to be issued this quarter. And the fact that the revenues facility revenues took a step down last quarter, the DNL with respect to margins. But all the factors that Jim pointed to in his prepared remarks, including beyond licensing income, reduction in tariffs, change in mix, favorable mix, this contributed to a significant improvement in total gross margins. And that’s the trend line that we are satisfied with. I think we represented in the past that we have a goal to achieve substantially higher margins. And that goal is supported by the strategies that we’re implementing and executing with the mix of further advances with respect to our product capabilities as well as the complementary element of, in effect, monetizing some of the value or IP through selective licensing.
Alan Hicks: So I think those gross margins were easily the best you guys ever had. Bank was 53.6%. I think gross margins for the quarter, Jim, correct me if I’m wrong, about 53 and change, right?
Jim Schmidt: Yes. So I can comment on that, Alan, actually. So 53.8% was the result last quarter, and that was the highest for sure since I’ve been at Vicor.
Alan Hicks: I’ve got going back over 20 years. So that’s the highest I’ve ever seen. Do you expect that to continue to grow the rest of the year based on royalty increases?
Patrizio Vinciarelli: Again, we’re not going to be making detailed quarterly prediction in a year in which so much could happen. So I think we’re just going to add to the ones upon us that are investing in Vicor for the long-term are going to look at this. I think one of the analysts asked a question in the last call about 2024 being a transition year. I think at the time, I didn’t embrace the characterization, I think in hindsight, it’s probably the better way of looking at it. This is a year of transition, which, in effect, a lot of things are going to change and we expect for the better.
Alan Hicks: Okay. I was at the NVIDIA conference I think it was February or last month. And I stopped by the Delta Brush, and they showed – asked about the NBM product. And they showed it to me and said, we’re not infringing because we have a different process. I don’t know, that’s all said, they kind of shut up. But can you comment on that or?
Patrizio Vinciarelli: Yes. The leather B&S come to mind. The fact is that their copycat products, infringes three of our patents. And thus far, the proceedings corroborated that expectation. So let’s wait see what happens with what I expect to be an exclusion order against them.
Alan Hicks: Okay. And just a quick question on the – there was a product. I think it was showed at the WCX that had DCC converted, 150,000 lots, I think, is that for charging stations?
Patrizio Vinciarelli: Phil, could you answer that?
Phil Davies: Yes, that was the PSU Patrizio. The demo of the five paralleled NBMs in the PSU, the 150 kilowatt onboard 800 to 400-volt charger, that was on demo we had it in the case out WCS.
Alan Hicks: But is the application for charging stations?
Phil Davies: No, that’s...
Patrizio Vinciarelli: It’s not an application for fast charging. And it’s an application where we have a major weight advantage as well as a major efficiency advantage. So that system comprising at the moment, five of our modules. And in fact, we will be able to get to the 150 kilowatt capability with a reduced number of for. That system supports a peak efficiency of over 99%. And it has ethical power density, meaning its volume measured in liters and weight measured in kilograms is a small fraction of any competition.
Alan Hicks: So that will go both in the car and the charging station?
Patrizio Vinciarelli: No, this is a device that certain other makers are going to incorporate within the vehicle in order to facilitate flexible charging.
Alan Hicks: Okay. How far away are you from design wins there?
Patrizio Vinciarelli: We have designed wins with two smaller other makers.
Alan Hicks: Okay. And one last question. You say you are going to fill the factory to $1 billion in 3 years or whatever. So, that’s in addition to whatever OEMs are also manufacturing or licensing your products?
Patrizio Vinciarelli: I feel I am having a hard time here with my audio. Phil, could you respond to that?
Phil Davies: Yes. So, our goal is product revenues out of the factory at as Patrizio said, just over $1 billion out of that new fab and OEM licensing activities, adding to that, yes.
Alan Hicks: Okay. Thank you very much.
Patrizio Vinciarelli: Thank you.
Operator: Thank you. [Operator Instructions] And it comes from the line of John Dillon [ph] with DMB Capital. Please proceed.
Unidentified Analyst: Hi guys. Thanks a lot for taking my questions. I appreciate it. Now, that your factory is finished, and we are seeing processors that are 1,000 watts and higher coming to the market. And also in your prepared remarks, I think I heard you say target production dates for HPC. When will we start seeing evidence of GPUs from major manufacturing factors using the Vicor POL solutions?
Jim Schmidt: So, I think Patrizio talked about that, John. I think that as I mentioned in the prepared remarks, we are delivering electrical mechanical thermal models to leading customers right now. Then we will follow that up at the end of Q2 with a demo system that they will be able to check out hardware and test the models against the demo system. And then we will be sampling in the – towards the end of Q3, and we expect production probably towards the second half of 2025. That’s when we will have vertical power delivery and production.
Unidentified Analyst: Is that what you are referring to…
Patrizio Vinciarelli: There is one notable customer that may well be in production come at the very beginning of next year. And for that customer, the hardware is due to be delivered in the summer months.
Unidentified Analyst: Excellent. And Phil is that the target production dates that you were talking about, or is that something different?
Phil Davies: No, that’s the target production dates, yes.
Unidentified Analyst: Got it. And are there current Gen 4 designs in production or about to go in production that will act as a bridge to the Gen 5?
Phil Davies: Yes. We have some Gen 4 design wins. But again, as Patrizio pointed out, there have been some market shifts with people changing strategies with supply chain considerations ahead of performance and technology. But vertical power delivery comes along. We have with the Gen 5 technology, an incredible solution with the current density that we can get to 3x over what the competition will be had. So, I think there will be some really hard reassessments being made as we move forward here with a number of accounts, but we will see that happen. But we have some very good interest from the accounts that are building really big investments into AI and developing their own processor chips, and they are the people that you would expect, and we have great engagements with them right now. So, I am confident Gen 5 is going to be all that it can be. And we are going to be having a very exciting 2025.
Unidentified Analyst: And you are pretty confident then that the productization schedule will stay on schedule?
Phil Davies: I am personally confident. Patrizio, do you want to comment on that, but…
Patrizio Vinciarelli: I am also confident. I think you were leveraging for the most part, processes and equipment that we have installed and have fully vetted. There are a few process steps that are going to be used in order to scale up capacity, not to deliver initial units that are still under some level of refinement. But generally speaking, the capability is in place, and we have a fab with the capacity to build very, very large quantities of panels and system solutions for customers.
Unidentified Analyst: So, you guys have working alpha or beta product right now?
Patrizio Vinciarelli: So, we have a lead customer that we are going to be delivering functional systems. We started some initial partial delivery, but we are going to be delivering complete systems in late June, July timeframe. That – so the lead application to be followed by others as we get into the other part of the year.
Unidentified Analyst: Excellent. I will get back in the queue. Thank you very much.
Patrizio Vinciarelli: Thank you.
Operator: Thank you. [Operator Instructions] And it comes from the line of Quinn Bolton with Needham & Company. Please proceed.
Quinn Bolton: Hey. Jim, just a question on the royalty, how it works? The royalty revenue you recognized in the first quarter, is that for shipments of your licensee that took place a quarter in arrears, so effectively shipments in the fourth calendar quarter of last year, or is it sort of for shipments that took place in 1Q of ‘24?
Jim Schmidt: It’s real time. It’s based on shipments that basically they take received [ph]. So – but it’s not in arrears, it’s in the quarter.
Quinn Bolton: Okay. Perfect. And then just sort of following up on John’s question around the Gen 5 deliveries, the lead customer is for Gen 5, I assume that, that’s a data center or sort of AI or HPC application, but just wondering if you could give us in broad strokes, what sort of the application is for that first Gen 5 customer?
Patrizio Vinciarelli: It’s within the compliance you just defined. But at this point in time, we really don’t want to be specific. We want to give this customer the full advantage being first and having an element of surprise. But it’s within the general field that you identified.
Quinn Bolton: Got it. Okay. Thank you.
Operator: Thank you. [Operator Instructions] And it comes from the line of Richard Shannon of Craig-Hallum. Please proceed.
Richard Shannon: Hi guys. Thanks for taking my follow-on question here. I guess, Phil, following on your prepared remarks here, which has probably had as much focus outside of HPC, as I have heard in some time here, and you kind of alluded to this at your shareholders’ meeting last year as well. But in that context, can you give us some sort of understanding of a split of your advanced product revenues between HPC and other applications. And then also, if you might just give us a flavor of how much of that Advanced Products segment is also point of load versus bridging in other kinds of functionality.
Phil Davies: Yes. So, can you hear me?
Richard Shannon: Yes.
Phil Davies: Yes. So, today, the advanced product revenues – yes, advanced products revenue last quarter was 51.6%, about 52% of the total company. Yes, and look, the bulk of that was – well, kit, a number of it was into HPC. There was quite a bit of it’s now going into the industrial, and I think that it’s early days in automotive as everyone knows [Technical Difficulty] that’s growing quite a few new as far as growth in defense and aerospace applications, like the space satellite communication that we have been talking about. We are getting more design wins there. So, it’s really spread amongst those three business units, excluding automotive, Richard.
Patrizio Vinciarelli: Okay.
Richard Shannon: That was helpful.
Patrizio Vinciarelli: I would add to that, that the strategy that fill our line with better deviation among different end markets with different trades and different sets of opportunities. That’s fully supported by a product strategy that leverages commonality of per conversion engines, control systems, packaging technology. So, we are able to, in effect, address market needs in markets, and markets that may appear to be some of this like test equipment on the one hand and high car point-of-load VPD applications with modules, in particular, 5G type modules, they are essentially the same. Investors as a part in another way relative to the competition, so to speak.
Richard Shannon: Okay. Thanks for all that detail. And a quick follow-on question for Patrizio. You talked about consistently from the time that we have covered you and frankly, a lot longer about having a distinct advantage in terms of power delivery at very high current. You talked about delivering samples or whatever to customers up to 2,000 Amps. I wonder if you could characterize the competitive dynamics here in the future with 5G. In the terms of above what do you think you are going to be the only credible solution up there? Is that at a 1,000 Amps or whether that just any characterization so we can think about this as we see the next generation of accelerators kind of the market?
Patrizio Vinciarelli: So, we have been able to – systems, they are already up to a few tens of thousands of amperes on a wafer. I would say that’s the most advanced solution in terms of power system capability and from what I can tell, compute capability in the market. So, that’s obviously cutting edge and preferable the more common denominator type applications, which as Phil suggested earlier, are trending up to the 2,000 Amp level. So, we are involved in one important development with a major OEM at the 2,000 Amp level. At that level, fundamentally, you need VPD and you need an advanced form of VPD such as what we call second gen VPD. Yes, you could try to do it with the first gen VPD that has been covered to a high degree by competitors, but what you would be sack with is a system, a power system that is evolves modules very heavy, very thick thermally in-app, difficult to call with very poor yields in assembly and reliability issues, not to mention the IP issues I alluded to earlier. So, we see the market in AI, in particular, quickly getting past the 1,000 Amp level and fundamentally left with VPD-only solutions. The lateral is out, even lateral of vertical, while achieving significant benefits relative to lateral, not as good as a vertical. And fundamentally, what’s going to be needed is a more advanced version of VPD that doesn’t bring about the stacking challenges, the characterized first generation VPDs what currently is in…
Richard Shannon: Okay. Great. Thank you, guys.
Operator: Thank you. [Operator Instructions] Our last question comes from Jon Tanwanteng with CJS Securities. Please proceed.
Jon Tanwanteng: Hi. Thanks for taking one more from me. I was wondering if you could update us just on the uptick of automotive and when you expect to start shipping in volume of those products. I think you have said for a number of years now that you expected ‘25 to be the year that automotive really starts shipping and making a difference. I am wondering if that remains on track. And if that’s going to be a good source of growth even before your VPD products start shipping in the second half of 2015.
Phil Davies: Hi Jon, this is Phil. So, no, the timing for automotive is really ‘26, ‘27 from reasonable revenue ramps beginning. There may be opportunities in Asia Pacific conversations that we have had in the last six months that could pull that in, but those are yet to develop. So, it’s too early to talk about those yet. But this is really a ‘26, ‘27 story for automotive. And although we will begin, as I have mentioned, I think last quarter or even in my remarks, the quarter before, production – early production at the end of this year for high-performance applications. So, I think that that’s sort of the timeframe that we are on with automotive.
Jon Tanwanteng: Okay. Got it. If you were to characterize what could be a bridge market between then and now, which one will be the most likely to drive some sort of upside, whether it would be HPC or automotive or some of these other applications you are talking about?
Phil Davies: Yes. HPC is definitely number one. And I think that we are, again, as I have mentioned, seeing very good design ins and wins in industrial, defense and aerospace. So, there is going to be some really good growth at good margins coming from those markets. But HPC and Gen 5 could just completely dominate that.
Jon Tanwanteng: Got it. Thank you, guys.
Operator: Thank you. I am not showing any further questions in the queue.
Patrizio Vinciarelli: Thank you.
Jim Schmidt: Okay. Thank you, operator and thank you everyone for joining.
Operator: And with that, everybody, we appreciate your participation, and you may now disconnect.